Operator: Good morning, ladies and gentlemen. Welcome to the La-Z-Boy Fiscal 2012 Fourth Quarter and Year End Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce Ms. Kathy Liebmann, Director of Investor Relations of La-Z-Boy Incorporated. Ms. Liebmann, you may begin.
Kathy Liebmann: Good morning, ladies and gentlemen. Thank you for joining us to discuss our fiscal 2012 fourth quarter and year end results. Present on the call are Kurt Darrow, La-Z-Boy's Chairman, President and Chief Executive Officer; and Mike Riccio, our Chief Financial Officer. Kurt will begin today's call, and then Mike will speak about the financials before turning the call back to Kurt for his concluding remarks. We will then open the call to questions. A telephone replay of the call will be available for one week beginning this afternoon. These regular quarterly investor conference calls are one of La-Z-Boy's primary vehicles to communicate with investors about the company's current operations and future prospects. We will make forward-looking statements during this call, so I will repeat our usual Safe Harbor remark. While these statements reflect the best judgment of management at the present time, they are subject to numerous future risks and uncertainties as detailed in our regular SEC filings, and they may differ materially from actual results due to a wide range of factors. We undertake no obligation to update any forward-looking statements made during this call. And with that, let me turn over the call to Kurt Darrow, La-Z-Boy's Chairman, President and Chief Executive Officer. Kurt?
Kurt L. Darrow: Thank you, Kathy, and good morning, everyone, and thank you for joining us on our call this morning. Yesterday afternoon, we reported our fourth quarter and full year results for fiscal 2012. Before talking about the quarter specifically, I would like to take a moment to recap some of the highlights for the year. First, our growth initiatives. On a comparable 52-week basis, we increased our sales about 6%. As you will recall, fiscal 2011 was a 53-week year. For the year, same-store written sales for the 312 La-Z-Boy Furniture Galleries stores increased 9.4%. We developed and introduced a new concept store and opened 4 stores in that format. In total, across the La-Z-Boy Furniture Gallery network, we added 8 stores throughout the year and remodeled and relocated several others. We continued to move our company-owned retail segment towards profitability and improved our operating results by about 50%. We increased our market share, we maintained our focus on innovation and introduced compelling, stylish and on-trend products that were well received by our customers, and we announced a strategic agreement with Kuka Home, one of China's largest upholstery producers and retailers, to develop the La-Z-Boy brand in mainland China. On the operations side, our Mexico-based cut-and-sew facility is producing efficiently and we achieved our anticipated savings for the year. And with our lean journey permeating all facets of our operations and becoming a part of our corporate culture's DNA, our operations are running efficiently and continuing to reduce costs. And finally, on the financial side, we posted a 92% increase in our operating income. We eliminated our final consolidated VIE, we generated strong cash flows and we strengthened our balance sheet by increasing our cash and paying off our revolving line of credit. All in all, a good year. Clearly, the strategic initiatives and changes implemented throughout the past 5-plus years have gained traction and are increasingly evident in our results. Moving forward, with our brand strength, quest for operational excellence and vast network of proprietary distribution, we remain focused on 3 key objectives: sales growth, making our Retail segment profitable and positive conversion on that volume growth. Now let me turn to a discussion of the fourth quarter. Our results for the period were impacted by a number of issues: The 13 versus 14-week comparison; a change in our effective tax rate; and $4.2 million in additional incentive compensation, which included a $1.6 million bonus to those employees who do not participate in the company's annual incentive program. We also had $2.6 million increase related to other incentive compensation, including both short-term and long-term stock compensation. As a reminder, last year's fourth quarter included a minimal level of compensation overall, and this year, because our results improved significantly, we felt it important to reward each employee throughout the organization as our performance is a credit to every one of them. Now on the wholesale side. Sales for the Upholstery segment increased 0.8% or about 8.5% on a comparable 13-week period. Mike will discuss the 53-week comparable year and the 14-week comparable quarter in a few minutes to help clarify any confusion that may exist with respect to the additional week in fiscal 2011. The operating margin for the period was 10.1%, demonstrating the efficiency of our operating structure across all 3 of our upholstery companies. As I mentioned a moment ago, our Mexican-based cut-and-sew facility is fully up to speed and is delivering the cost savings we anticipated. Given the lean cost structure in place throughout our upholstery operation, any uptake in volume would allow us to leverage our fixed costs and further improve our efficiencies. In other words, we anticipate converting well for earning a higher profit on increased volume. On the sales side, we were pleased with the same-store sales performance for the La-Z-Boy Furniture Galleries network of stores. For the quarter, the increase was 10%, and for the last 18 months, even comping at a high single-digit rate. In addition to market share studies on the industry, we believe this rate of increase is the single most important factor in demonstrating market share gains. We attribute the gain to a number of factors, including the effectiveness of our brand platform, excuse me, an innovative product offering, the perceived value for the consumer and the quality of our product. Additionally, we are utilizing improved merchandising strategies throughout our store network, have amped up the style quotient of our product, and have effectively used Brooke Shields as a brand ambassador to appeal to a wide range of consumers where the message is, "La-Z-Boy has a broad selection of stylish and on-trend upholstered furniture that would fit into anyone's lifestyle." In fact, we announced in April that we extended our contract with Brooke for another 2 years, and we look forward to building that momentum -- building the momentum the brand platform has achieved to date. Our independent dealer base feels similarly, and together with them, as we advertised cooperatively, we plan to increase the number of weeks on air beginning in September to 29. As a reminder, when we started the campaign 18 months ago, we were on the air for 12 weeks, which helps to put in perspective how successful both La-Z-Boy and our independent dealer base believe the campaign has been in terms of driving a more qualified consumer to the network of stores. As a percent of sales, our spend will remain fairly constant. Our in-home design business continues to present a significant opportunity to drive volume throughout the Upholstery segment. On average, we increased the ticket threefold if the designer works for the consumer in their home. An additional opportunity and benefit is that the consumer is so pleased with her newly decorated room complete with accessories, that she's often interested in having our designers work in other rooms in the home, where we are able to leverage our complete product offerings and sell bedroom and dining room furniture from our Casegood companies. We remain excited about our new store format. Since we spoke to you last, the company opened 2 additional stores, one in Chicago and the other in St. Louis. And between the company and network of independent dealers, there are plans to open, relocate or remodel 10 to 15 additional stores, with the company representing about half of that number. As we've said in the past, we believe North America could support an additional 75 to 100 La-Z-Boy Furniture Galleries stores, and that expansion will assist in rounding out the network to achieve its fullest potential. Across the board, raw materials remain a headwind and we believe we will face similar cost increases of about $16 million through fiscal 2013 as we did in 2012. As a result, we announced a price increase of about 2% at the April Furniture Market to offset these costs and maintain our margin. In our Casegoods segment, sales for the quarter declined 13.3%, or about 6.6% in the comparable 13-week basis compared with last year's fourth quarter. In the absence of a more robust economy, the Casegood business remains challenged due to more expensive nature of full room groups. However, we remain profitable for the quarter and posted a 3.3% operating margin. Our team continues to look to create innovative designs and ways to merchandise their products, open new accounts and gain floor space with existing accounts. Additionally, we are looking to improve the efficiency of our Hudson, North Carolina facility by putting more production through that plant, particularly as costs continue to escalate in Asia. At this past April Furniture Market, we introduced 3 new American Drew groups, which will be made in Hudson, North Carolina, which were all well received, and the production of those groups will begin in August. Now let me turn to the Retail segment. For the quarter, delivered sales for the Retail segment were down 4.7%, but increased approximately 3% on a 13-week comparable basis. Importantly, the segment's operating performance continued to improve for the 13th consecutive quarter. The group posted an operating loss of $1.1 million versus $3 million in last year's comparable quarter. We are clearly on our way to making this business profitable. Our cost structure is lean and efficient, and volume, combined with margin expansion, is driving the improvement in our performance. Our team is utilizing better selling strategies and is focused on providing the consumer with an excellent, pleasurable and professional shopping experience. And for the quarter, both our close rate and average ticket increased. Additionally, we improved the gross margin by 2.9 percentage points, and this reflects the better mix of pricing in terms of promotionally-priced and regular-priced furniture. Striking that balance has been important in our ability to grow our margin. As I mentioned earlier, we do have plans to open additional stores in the company-owned segment, including 3 stores in the Pittsburgh, Pennsylvania market where we haven't had a retail presence in the last several years. Our focus is to drive volume, and one element of that strategy is to better penetrate existing markets to leverage our fixed cost structure and move into dark markets, where opportunities to showcase our brand and develop our market share exist. I take this opportunity to remind everyone that our integrated retail strategy is focused on branded or proprietary distribution as we believe that is the best avenue to sell our furniture given the changing distribution landscape throughout North America. Additionally, we believe the consumer received a more professional and thorough experience when shopping in a branded outlet. And for sales that take place in our company-owned stores, we are earning a blended margin, that is a profit on the wholesale and resale side -- retail side on the same transaction with the consumer. I will now turn the call over to Mike to review our financials. Michael?
Louis M. Riccio: Thank you, Kurt. So to clarify our comments today, we're assuming that the extra week of sales for the prior year's fourth quarter and full year represents about a 7 percentage point and a 2 percentage point impact on average, respectively, when comparing to this year's sales figures. For the fiscal 2012 fourth quarter, net sales increased about 4%, compared with last year's fourth quarter on a 13-week comparative. Net income attributable to La-Z-Boy Incorporated was $20 million or $0.37 per diluted share, of which $0.19 per share related to anti-dumping duties received from the CDSOA distribution. These results compare with a $10 million or $0.19 per diluted share, including a $0.05 impairment of long-lived assets, primarily related to certain stores in the company's Retail segment. The impairment also included a charge of $1.8 million related to the company's California VIE, which was not included in the company's per share amount due to the adjustment for noncontrolling interest. With respect to the anti-dumping duties, back in March, the Commerce Department distributed the monies that it had been holding back from the petitioning group of companies. Based on the rulings by the appellant and district courts, we do not believe it likely that we will have to return the money. For the quarter, cash provided by operating activities was $27 million, including the $16 million in CDSOA distribution. And we ended the year with $152 million in cash, while decreasing our total debt to under $10 million as we repaid the $20 million on our revolving line of credit. Capital expenditures for the full fiscal year were about $16 million and are expected to be in the range of $25 million to $30 million for fiscal 2013, reflecting upgrades to our IT systems, excuse me, including our ERP implementation, new stores and remodels of existing stores, investments in transportation equipment and the normal replacement of machinery. For the full fiscal 2012 year, we purchased approximately 0.5 million shares of stock in the open market under our existing authorized share purchase program that has approximately 4.8 million shares remaining. The purchase of shares essentially offset the shares issued this year through stock option exercises. Going forward, based on anticipated cash flows, we continue to be opportunistic in the marketplace with respect to share purchases and are mindful of offsetting dilution from share options. Going forward for modeling purposes for fiscal 2013, we expect our effective tax rate to be in the range of 36% to 38%. Since our deferred tax asset still had a valuation reserve recorded in the prior year's fourth quarter, the tax rate for fiscal 2011 was affected by the impairment of fixed assets. In analyzing our EPS for fiscal 2012, there were a lot of moving parts, and we believe there'll be less volatility in the EPS line for fiscal 2013 as we are no longer consolidating VIEs and therefore, reversing out the results in the noncontrolling interest line. We also do not have any significant issues with valuation reserves, which should result in a more normalized tax rate. I will remind everyone, however, that what is left in the noncontrolling interest line are our joint ventures, and those operations have been profitable. So a portion of that income will be reversed out, and the impact on the EPS line should be minor due to their size. As Kurt mentioned when he opened the call, fiscal 2012 was a year to look at our operating income line, which increased 92%, and this is to analyze the true performance of the company for the year. As a note, the impairment charge in fiscal 2011 of $4.5 million contributed 29 percentage points to the improvement in operating income. I will now turn the call back to Kurt for his concluding remarks.
Kurt L. Darrow: Thank you, Mike. We talked a lot over the past year about driving growth. Accelerating our international expansion is one element of our growth strategy. We already have a significant presence in several markets around the world, including Australia, New Zealand, United Kingdom, Korea and Thailand among others. We are both interested in maximizing our presence in those core markets in which we already operate and where the La-Z-Boy brand has developed significant recognition, but also in the emerging and developing markets in the world where motion furniture is not as well-known, and where we have an opportunity to enter early in the market's evolution, such as China. This past March, we announced a strategic licensing agreement with Kuka Home, one of China's largest stationary upholstery producers and retailers, to rollout the La-Z-Boy brand and stores across mainland China. The partnership is focused on developing, manufacturing, distributing and retailing La-Z-Boy motion products, and plans are underway to open several hundred La-Z-Boy stores throughout China, owned and run by Kuka over the next several years. Joining forces with a capable and experienced local partner who understands and is able to navigate the local market has served us well in the past in other markets, and we believe Kuka will prove to be a great partner for us. Going forward, we will commit more resources to our international strategy, allowing us to accelerate the development of other opportunities and to provide support to grow our existing businesses around the world. Shifting gears for a moment, in terms of uses for cash, our thinking has been consistent. First, we want to ensure that we have enough bandwidth to ensure liquidity in the event of an unexpected downturn in business. Following that, our first use of cash would be to invest in the business to drive growth, as we believe that will ultimately provide the greatest return to our shareholders. As Mike mentioned in his discussions of cash flow a few moments ago, our second priority would be stock purchases at a minimum to offset dilutions, and our third priority would be dividends. Overall, we are pleased with our performance for fiscal 2012. Our operating performance significantly improved, we generated strong cash flows and increased our sales. Importantly, La-Z-Boy is well-positioned to grow and to grow at a faster rate than the overall industry due to our brand strength, network of distribution and plans for new store growth. This, combined with a solid operating platform, will allow us to capitalize on any strengthening of the economy. Our company is celebrating its 85th anniversary this year, and I'm proud to say that the values instilled by our founders remain with us today and believe they would be proud of the responsiveness of our company due to the rapidly changing industry. We ended fiscal 2012 with some momentum and are beginning the new year with expectations of continued progress. We want to thank all of you for being on our call today, and I will turn things back to Kathy.
Kathy Liebmann: Thank you, Kurt. We will begin the question-and-answer period now. Rob, if you can [ph] give the instructions for getting queued to ask questions.
Operator: [Operator Instructions] Our first question is from the line of Brad Thomas with KeyBanc Capital Markets.
Bradley B. Thomas - KeyBanc Capital Markets Inc., Research Division: I want to just ask, first of all, for a couple of points of clarification on the intensive comp. I understand that with the progress you're making in the business, you want to reward employees. Could you just give us a little bit of context of intensive comp over the last couple of years? And also, is this something that, had you known what your results were going to be that perhaps you would have accrued through the course of the year rather than having all at once here in the fourth quarter? Just hoping to understand a little bit better the context of this.
Kurt L. Darrow: Brad, fair question. If you go back a number of years, we did not have any incentive comp. We stopped making 401(k) contributions, we stopped making profit-sharing contributions. In the height of the financial crisis, our organization really hunkered down and gave up -- gave back a lot of things to help us through the tough times. And we felt, given the kind of year we were having, this was the start of a process to reward them back to a level that keeps us competitive with everybody else. We -- on the management incentive bonus, last year, we earned about 18% of our financial targets, and this year, we will be slightly over 100%. And so that was accrued and looked at every quarter throughout the year, and that did not make a bigger difference one quarter to another. And you would assume on that annual incentive plan, if we achieve 100% of our targets next year, there wouldn't be a big differential in our comparatives year-over-year. The 2 things that changed this year was our incentive stock compensation. As the company continues to do better the long-term plan of our 3-year stock options and performance options, that continues to grow as you move forward. But the real big issue here was the $1.6 million that we decided in the fourth quarter to share with all of our employees on a payout that will convert next year over to a profit-sharing program. And we just felt that given what we accomplished this year and the effort everybody made, and we thought it was the appropriate thing to do. And so that will be -- some profit-sharing payment will be baked into our ongoing cost structure going forward. But it's the right thing to do for our people. They earned it. We appreciate what they did, and that hopefully explains the 3 components of our stock change -- of our compensation change, excuse me.
Bradley B. Thomas - KeyBanc Capital Markets Inc., Research Division: Yes, that's helpful, Kurt. So to follow-up on that, zooming out a little bit, as we look to the year ahead of us and we think about the flow through to the bottom line from an incremental dollar of sales, what should we be modeling for a contribution margin for this upcoming year? And then is there -- are any specific quarters that might be different from the annual expectation?
Kurt L. Darrow: Well, Brad, I don't think we really changed our position and there's ebbs and flows every quarter. It depends on which of the segments the volume comes through, but we're standing with our previously announced 20% to 30% incremental profit on the sales for next year and that's what we've charged our organization to accomplish.
Operator: Our next question is from the line of Budd Bugatch with Raymond James.
Budd Bugatch - Raymond James & Associates, Inc., Research Division: Kurt, I guess my first question has to do with trying to understand the difference between the company-owned retail sales performance in the fourth quarter and the comps or the written comps for the overall system. I think the system was up in written comps, I think 10%. How did the company compare to that -- how did the company stores compare to that?
Kurt L. Darrow: Well, Budd, we don't break out the differential, but I would tell you that for the past 18 months, while it hasn't been similar every month in the aggregate, the company stores had performed at/or slightly above what our independent dealers have performed. So there isn't a big differential between performance today as far as the percentage increase year-over-year.
Budd Bugatch - Raymond James & Associates, Inc., Research Division: What I'm trying to get at is, I think in the last quarter, I think the comp for the system was up, I think, 9% as well, and even comparably the delivered sales for the company-owned retail was up about 4% as you adjusted for the extra week. Can you help us get through that disconnect or is there a disconnect that we just don't -- can't see?
Kurt L. Darrow: Well the disconnect, I think, Budd, the disconnect is the increase came through all quarter in the fourth quarter, so there was an increase -- obviously, February was the strongest month, but there was an increase in March and April as well that did not get delivered out in the quarter. And so our undelivered backlog in our Retail business is considerably higher than it was a year ago.
Budd Bugatch - Raymond James & Associates, Inc., Research Division: Got you, okay. And following up on Brad's question regarding incentive comp, I just want to make sure I understand the $2.6 million were basically then an accounting charge for stock options that were granted in the quarter? Is that...
Kurt L. Darrow: No, the $2.6 million is the increase over last year, so that's the improved performance and that is the stock comp accruals that we're making for our longer-term plans that are out there.
Budd Bugatch - Raymond James & Associates, Inc., Research Division: So there's an LTIP that has that in there? Is that what you're telling us?
Louis M. Riccio: This is the -- Budd, this is the annual incentive plan that we are based on when Kurt was talking about we only paid out 18% to management overall in the last year, and this year it's over 100%. So it's our annual incentive. And actually, in our 10-Qs, we've been talking about that our SG&A expenses have gone up because of annual incentive payments. The only reason we're specifically talking more about it this quarter is because of our decision in the fourth quarter to pay out the $1.6 million, it made the overall number a lot larger. So we've had increased comp all year this year over last year because our -- we're double our operating income over last year and we've hit our targets. So the only difference this time is we're giving a specific number because it's so large when combining everything else.
Budd Bugatch - Raymond James & Associates, Inc., Research Division: Okay. On one of the uses of cash after you get to your -- and I believe your cash requirements, your liquidity requirements, Kurt, is worth -- refresh me, is $100 million, is that your sleep-good number?
Kurt L. Darrow: That's in the ballpark.
Budd Bugatch - Raymond James & Associates, Inc., Research Division: Okay. You brought in, I think, 48,000 shares in the fourth quarter. And I'm just curious as you how you define opportunistic once you make that threshold?
Kurt L. Darrow: Well, Budd, we're continuing to look at opportunities to invest in the business first. You'll notice that Mike outlined our CapEx plans for next year, which are quite a bit higher than last year, but we believe there's justification for that, and we're also looking at other opportunities to accelerate the growth of the business. So that remains our first priority. If we can't find opportunities to deploy our capital wisely, certainly ways to give that back to shareholders through dividends, or share repurchases would be considered, but we're sticking to our magnitude of priorities as we've outlined in the call.
Budd Bugatch - Raymond James & Associates, Inc., Research Division: Okay. And that did bring me to my last question, which was on the CapEx. Can you kind of outline what that CapEx -- how that -- was it, $25 million will be spent this year or will be allocated?
Louis M. Riccio: So Budd, our largest expense is going to -- we started on the journey of converting our legacy systems in our -- mainly in our branded business of La-Z-Boy to a JD Edwards E1 system. And this year is a big year for us to -- where we're starting to change some of the systems in our plants and go live. So we'll spend a lot of money putting that E1 system in and go live this year. But that's a large part of it. We also have aging transportation equipment that we'll need to upgrade as we build that and get some more tractors and trailers. And then with our store growth, even if we do lease them, we still will put $400,000 to $600,000 into a store for putting some leasehold improvements in, putting signage, that type of things. So -- and then we have machine equipments that, in our manufacturing facilities, especially for upholstery, that have aged that we need to replace. So those are the main things that we're doing and just a lot more of those, some we've deferred trying to get the most out of our equipment. And now that we have the cash, we need to get those updated.
Budd Bugatch - Raymond James & Associates, Inc., Research Division: So is there a bulge in fiscal '13 or does that get to a run rate that you're going to need to keep going forward?
Louis M. Riccio: I would say a bulge is probably not -- because we'll have other -- hopefully, we'll be adding more stores as we go into '14 and on. But for the E1 cost and the transportation cost, I think that's more of a bulge on those things because we will not be spending that much money on the E1 system every year. This is -- this will just be a big year because we're starting to go into our plants and start getting a lot of updates throughout the plants.
Kurt L. Darrow: I think, Budd, I think to answer your question a different way, I think, in some previous years we've been a little light. This year, we may be slightly heavy. Probably, the run rate the business needs is somewhere in between the 2.
Budd Bugatch - Raymond James & Associates, Inc., Research Division: And just the size of the E1 and transportation?
Kurt L. Darrow: Yes.
Budd Bugatch - Raymond James & Associates, Inc., Research Division: Commitment is how much?
Louis M. Riccio: I would say 30%, 40% of the cost of that. It's hard to say because it depends on how everything falls out during the quarter -- I mean, during the year, I'm sorry, because we'll have certain things staged when we order them versus when they actually come in.
Budd Bugatch - Raymond James & Associates, Inc., Research Division: 30% or 40% of the $25 million, or 30% to 40% of the...
Louis M. Riccio: Yes, of the $25 million to $30 million, yes.
Budd Bugatch - Raymond James & Associates, Inc., Research Division: Is for the E1 and the transportation, great.
Operator: Our next question is from Todd Schwartzman of Sidoti & Company.
Todd A. Schwartzman - Sidoti & Company, LLC: I wanted to just look at the gross margin a little bit, specifically for the full year. What's your outlook for poly and, in fact, all foam-related materials? And also what percent of cost of sales is represented by foam?
Kurt L. Darrow: Well Todd, we've mentioned in the call that we're looking at raw materials in general going up $16 million to $17 million, poly being the largest component of that, and -- of the increase. And poly is a little bit more than 10% of our total raw material spend, so it is a significant...
Louis M. Riccio: On the Upholstery side.
Kurt L. Darrow: Yes, on the Upholstery side, it is a significant number, and that's the one where we're seeing the most pressure today.
Todd A. Schwartzman - Sidoti & Company, LLC: Okay. And on a total cost basis, if you would, Kurt, what is the approximate piece?
Louis M. Riccio: Todd, we just are not giving out details of our cost of sales just yet as we move to this lean journey and going on the E1 system. And so we're just not giving more details out on the portion of the cost of sales contributed to each one of our categories.
Todd A. Schwartzman - Sidoti & Company, LLC: Okay, fair enough. But on the Upholstery side, it's a little more than 10% of total raw materials?
Kurt L. Darrow: That is correct.
Todd A. Schwartzman - Sidoti & Company, LLC: Okay, great. Yesterday, a competitor said it saw traffic moderate essentially since the early part of May, I guess, till today versus prior months, not a year ago, I guess. What -- any thoughts on that? What are you seeing on that front in terms of traffic since the fiscal year began?
Kurt L. Darrow: Well, Todd, we've had this phenomenon all year of frankly slightly down traffic, but fairly good results. So that did not change in the fourth quarter and that has not changed in the first 2 months of our new year. So our traffic remains slightly down, which we attribute it -- part of that is the consumer doing more research online before she shops and may not be shopping as many stores as she used to, but it doesn't seem to have negatively impacted our results at this point. And our momentum so far in the May-June period has been consistent with what we saw in the fourth quarter.
Todd A. Schwartzman - Sidoti & Company, LLC: Just to be clear, I was interested more on a sequential basis versus prior year periods, so looking at May and June compared with January, February, March and April?
Kurt L. Darrow: Well, we always have a seasonal downturn in the summer months, but I'm not going to make any comments about May and June anymore specifically on that, but it's -- this is the ebb and flow of the furniture business, seasonality-wise in the summer. The summer slows down and obviously we're seeing that, but on a relative basis, we're performing consistently with how we finish last year.
Todd A. Schwartzman - Sidoti & Company, LLC: Okay. How did -- Kurt, you didn't really talk too much today, thus far at least, about product innovation. I'm curious about the power recliner, the XR and the XR+. Can you give us an idea of either what the expectations are or based on what shift of late in terms of the number of recliner units that are now shipping with either the PowerReclineXR or XR+, and what the margin impact of those higher end models are?
Kurt L. Darrow: Well, I don't have those specific numbers to give you, Todd, today, and really the PowerXL is just getting shipped out to our dealers today. But we're very bullish on Power. We saw, percentage-wise, significant increases in Power last year. We think it's going to continue to go forward. I think we talked at our previous call that in Europe, the Power category is 50%, 60%, sometimes 70% of their total business in the U.K. and other markets. So we're very bullish on it. I don't want to give you a projection now of how much we -- and it's a great thing. It's value-added. It is probably not that significant in increase margin, but it's increased dollars for our dealers and ourselves, so it changes the average sale significantly. So we're bullish on Power, we think we're in a unique position to be a dominant player in that area. You will walk into our stores and see Power front and center. So we think it's got a great growth trajectory for the next couple of years.
Todd A. Schwartzman - Sidoti & Company, LLC: Okay. And on the retail front, with the return or planned return to the Pittsburgh area, I'm wondering -- curious about what might have changed for the better since you exited that market? Is it a combination of the company and the market? Is it more La-Z-Boy or what's going on there?
Kurt L. Darrow: Well, to clarify, Todd, the company never had its own presence from owning the market in Pittsburgh. We had a dealer there for a long time, they became the VIE. We tried to keep that business going, and we decided to shut it down because I think times were different, the way we ran the business was different. We had some locations that we weren't comfortable with and we made a change. Then we have -- took the line and sold it to a general dealer in Pittsburgh, and we had some success. But unfortunately in the 2008, 2009 demise that, that dealer had financial problems and went out of business. So it bothers me greatly to have markets the size of Pittsburgh where you can't buy La-Z-Boy. So we analyzed our opportunities, we considered a couple of people that were interested as an independent dealer, we considered the dealers there, but we thought the best way for us to penetrate that and get our market share out of that was to do it ourselves with a company-owned store. So we will be opening 3 stores over the next year in Pittsburgh. We think it's a good market and we think it's slightly underserved, and we have expectations of doing quite well there.
Todd A. Schwartzman - Sidoti & Company, LLC: And the estimated store opening dates?
Kurt L. Darrow: I think we'll have 2 of them opened before the holidays, and the third one will be some time late spring, early summer of next year.
Operator: Our next question is from the line of Matt McCall, BB&T Capital Markets.
Matthew S. McCall - BB&T Capital Markets, Research Division: So Kurt, you talked about traffic being down, but you had good results. I think in the past, you maybe provided a little color around what's going on with conversion and what's going on with the average ticket. I think you mentioned it somewhere, but I don't know if you threw any numbers behind it. Can you add any color there?
Kurt L. Darrow: I don't think so. Matt, I think, as I said, this is not new. This traffic being down slightly has been a consistent theme, but we still had 18 months of close to double-digit sales increases. We do believe that the customer who's coming in, in a lot of cases is a new customer that we're reaching through our brand platform, and we think she has a better understanding of who we are and what we offer. And our sales of stationary furniture -- so sofas, occasional chairs, living room furniture, that is definitely outpacing the rate of growth that we have in our motion furniture business, but we have a much higher market share in motion furniture than we have in stationary. And part of our strategy is to accelerate our growth of our stationary furniture, and obviously that's primarily what we are advertising with our brand platform, so there is a direct correlation through that. So -- but yes, we mentioned the drivers in the press release and in the call that our average ticket and our close rate were up slightly for the quarter and our margin was that, that made the difference in our results. But to quantify them to any great degree, we're not going to do that right now.
Matthew S. McCall - BB&T Capital Markets, Research Division: Okay. What about the demographic trends? Do you have any data that says your customer's changing, getting younger or getting more affluent? Just the impact of the brand efforts is having or is causing a change to who's coming in the store?
Kurt L. Darrow: I think it's still a little early to have any definitive opinions on that. We are going to do some other market research in the late summer, early fall on the change on that because we've really only been on the air here less than 18 months with Brooke, and it isn't going to change overnight. We still skew a little bit older than we would like to long term. And it's not that we don't have any issue with our customer base, but if we're going to expand our current base, we believe the base we want to expand with is a slightly younger customer than our current base.
Matthew S. McCall - BB&T Capital Markets, Research Division: Okay. So I think you mentioned an incremental margin target and, Mike, this might be for you. Remind us of the cost savings that you recognized in Q4 of 2012, specifically I'm referencing, I guess, Mexico, but -- and versus Q4 '11? And is everything at this point recognized, and now we're just going to see the benefits of leverage?
Louis M. Riccio: Yes, that's probably a pretty good statement there, Matt. What we were saying that we would get about $2 million to $2.5 million a quarter from Mexico and about $10 million this year over 2011, and we pretty much did that plus or minus a couple of dollars every quarter. So that pretty much is now anniversaried against the 2011 year. So this year, most of ours will be making sure that we efficiently are running our plants, that we're on our fixed costs in SG&A, especially in Retail, that the volume will be effectively converted on that. And any other cost savings that we have will either offset what we normally do when our labor increases and costs for benefits, that type of thing, that we'll have to overcome. And our price increases that Kurt talked about would offset our raw material price increases.
Kurt L. Darrow: But, Matt, your expectation is we probably won't call out Mexico like we have the last couple of years. It's now at a maturity level. If we're able to increase our volume, which is our expectation, it'll cover more of their fixed. But the dramatic savings that Mike talked about last year quarter per quarter, we're not going to see that, we're not going to see that going forward. It will be the incremental piece that we get on a consistent basis.
Matthew S. McCall - BB&T Capital Markets, Research Division: Okay. And then following up on that. When you mentioned the Retail gross margin was off. It's kind of like it's mostly mix-related. Is there anything from a mix perspective less there, or is that also just a need for more volume now?
Kurt L. Darrow: It's pretty much per volume. I mean, the mix that is changing is our stores, both the company and our dealers are selling more rooms, they're selling more multiple pieces, and that is part of our strategy to not be an item house but to be a room house. And so that's helping. But I don't -- in staying competitive and balancing our sales and volume needs versus our margin need, I don't think we're going to experience the same kind of expansion in our gross margin in our Retail business next year as we did this year, but it is still a very healthy gross margin in our Retail business today.
Operator: Our next question is from John Baugh, Stifel, Nicolaus.
John A. Baugh - Stifel, Nicolaus & Co., Inc., Research Division: A couple of things, I wanted to first follow-up on Budd's questioning about the difficulty of getting to a 3% Retail number when written orders in the prior quarter, January, as well this quarter were both up close to 9%, 10%. Did you write a bunch of orders, say, early in the January quarter that resulted in a low backlog going into this quarter to ship and then the orders written here were skewed late in the quarter? So again, you didn't ship much in this quarter. Or was there something else going on there?
Kurt L. Darrow: That would be part of it, John. We -- I think if we look back over the various months, the last 6 months, our January written did not meet our expectations, and then February, March and April had been very strong, so there is an ebb and a flow. And we had a little bit of an issue earlier in the year about keeping up with demand because it changed around the holidays and we did have some fabric outages and some service issues, and so that affected not only our own retail, but our other customers as well. So it's just a lag factor here that we'll get caught up on, and you can't write at 10% a comp forever and deliver it for, we get that, but it'll balance itself out as we go into next year.
John A. Baugh - Stifel, Nicolaus & Co., Inc., Research Division: Great. And then on Casegoods, Kurt, I mean this has just been steady decline for years and, certainly, another cyclical element here. I guess the question simply is, can we still do what I believe is largely a variable cost model still of 3%, 4%, or 5% EBIT margin of sales still lower and lower and lower? Or do we need, because we do have some capacity still here, sales to stabilize, and will this introduction that you're talking about shipping in August allow that to happen? Or are we looking, in your mind, at continuing decline in Casegoods revenue going forward?
Kurt L. Darrow: Well, to answer your last question first, John, we would not anticipate our Casegoods business to continue to go lower and lower. I don't -- we may have some company-specific issues that we need to work -- to deal with, but I think the Casegoods business, in general, is certainly in the industry not keeping up with Upholstery and Bedding, so we got to look at the comparative subset that's out there. We still have about 20% of our sales being made at our Hudson, North Carolina plant. We need more volume to go through that plant to have it be efficient and profitable. And so with the variable model on the 75% of our business, as sales would go down, we shouldn't have an issue with controlling that. But the pressure on the plant to produce enough volume to be productive is where our pressure point is right now, and that's what we're working on and looking at some options and trying to see what we can do to get more volume through there. And at this point, we have not changed our expectations that this business can produce an EBITDA of a mid single digit.
John A. Baugh - Stifel, Nicolaus & Co., Inc., Research Division: So the decline that we saw to 3-ish percent or whatever it was for the quarter was solely attributed to the lack of leverage on the U.S. production, not a...
Kurt L. Darrow: Well, that and some of the volume. I mean, not all of your cost flex when you go down, you got your fixed costs. So the combination of lower sales and not covering your fixed to the same that you would with higher sales, and the challenges we have at the plant were the 2 main drivers.
John A. Baugh - Stifel, Nicolaus & Co., Inc., Research Division: Got it. And then just quickly circling back on raw materials again. I know there's a lag impact of probably what goes through your P&L. But I'm just curious, with oil having backed up fairly substantially here, what's embedded in your forecast, because obviously 1 year is a long time, and I appreciate that the raw is going through the P&L, maybe for this quarter and even the next quarter are a byproduct of what's already happened, but do you anticipate further increases from here? Or some level of relief? Or just flat? I'm just kind of curious about the assumption.
Kurt L. Darrow: It's very much a moving target, John. And the number we gave you, the $16 million, $17 million, is what's embedded in our plan for the year. And every month, we get some commodities with a little relief, and then the next month we get those that go up. And so right now, that's our best guess, that's what we put together with our plan, that's what we're seeing here in the first quarter. But it's volatile, it changes quickly and our real visibility the second half of this year for raw materials is not that good, to be candid. So we're going to stick with where we're at in our planning.
Operator: At this time, I'll turn the floor back to management for closing comments.
Kathy Liebmann: Thank you, everyone, for being on the call today. If you have follow-up questions, you may give me a call. Have a great day.